Susan Davy: Okay. I think that's everybody in. So good morning, everybody, and thank you so much for coming here this morning. I'm Susan, CEO of Pennon Group, and I'm joined by Laura, our CFO today. And I am delighted to be in person and great to see so many of you who've come along to hear the presentation. Now I'm often asked why do I work in the water sector. And I think the answer is the same that I gave 28 years ago when I first started. Quite simply, I'm in water because it's too important not to be at what we do really matters, really matters to people and to communities every single day. And this morning, the review undertaken by Sir Jon Cunliffe has reported on its interim findings, and I'm sure some of you might ask some questions about that later. Let's be clear, I'm excited about what comes next for the sector, what comes next for Pennon and what comes next for our customers and our shareholders. So we're going to have a look at what's ahead for Pennon, but I wanted to take a few moments to on the end of the K7 regulatory delivery period. So we've just ended with '24, '25 year, and that also marks the end of the 5-year period that we've had to '25. And for some of you in the room today because I recognize many of you, we last met in the West country in March, where we took you on a day trip to the seaside for those of you that came. And we were showcasing some of the investments that we have made, some of the work we've done on our natural habitats as well, the innovation that we've been deploying, the training centers we've been creating for our thousands of brilliant employees and colleagues across the business. And it was all about being focused on what it's like to walk in the shoes of our customers. The stars of the day, if you recall, were Denzel and Kilo. They were 2 of our leakage dogs who are trained to detect small traces of chlorine and can cover miles of rural land, which is really important for our regions and successfully find leaks as much as the work we do with our satellites and drone pilots. So I'm sure many people, when I got some of the e-mails that came back, many people were commenting on the dogs, and I think they're a real hit. So they do a fantastic job. So I think it was great to have people come down. But, of course, there's always a balanced scorecard to reflect on to. So I think that's where the presentation we will start with. So how do we think we've got on for K7. So there's 4 things that I really want to talk about today, and then we can obviously have a reflection about the outlook and what we see coming next. So 4 things I'd like to cover. The first, we've spoken to our customers, thousands and thousands of them about the priorities and what matters most to them. And we have been delivering on 4 strategic priorities that we've made as the pillars within our organization and all the things that customers really care about. We have been delivering. We have done well. We have delivered on 70% of stretching regulatory targets, which comparatively across the sector puts us in the top quartile. So that's the first thing I'm going to reflect on. Second thing, we are serving more communities and regions across the group. We have a different strategy. We have a strategy of organic growth, yes, but also acquisition. And more recently, we added Sutton and East Surrey to the group and got CMA approval last June. And so we are spreading the work that we do with all those communities and delivering against those stretching targets for them. Thirdly, we are going to talk about '24, '25. It has been a challenging year for us operationally, and we've had a financial reset as well. We've reset, we've reshaped the business. It is a point of inflection into K8. And following the funding and financing that we have done, and thank you to many of you in the room who have supported and the successful rights issue, we have got a strong balance sheet going forward. And then lastly, that strong platform secured for the future. Actions taken this year undoubtedly puts us in a good place. We've also got our outstanding and good business plan assessments relatively to South West Water and Sutton and East Surrey. We are on with them. We are doing it, and I'm really confident that we have a robust outlook for K8. So the 4 strategic priorities that we focus on, and we have realigned our business internally and reshaped the business internally to make sure that we're really focusing on these because they're really important to our customers and therefore, really important to us. First one, always, is around water resources and safe, clean drinking water and improving drinking water quality. We will touch on it, I'm sure, but it has been a hot, dry start to 2025, hasn't it? We learned our lesson in 2022. We've been investing significantly to break the drought, and we have broken that drought cycle. I stand here today and with the forecasts that the team have been working through, we don't see the need for a hosepipe ban in the South West as we had in 2022. So we're in a very different place. So that's a really good outcome. Now water quality, really important that we have improved our water quality position. Necessarily so given the incident that we had in Brixham last summer where we worked tirelessly to return safe, clean drinking water to the people and businesses in and around Brixham in Devon. 800 colleagues were there focused with our supply chain partners as well in making sure that we were flushing 30,000 kilometers of network, 27x installing UV and infiltration to make sure we could restore the resource at the source as quickly and effectively as possible. Obviously, I'd like to thank the customers for their incredible patience and for the kindness that they showed colleagues through that. So important that we have delivered on our water quality targets. Second priority, no surprise, I'm sure, tackling storm overflows, the use of them and eradicating pollutions. Now I'll go through this in some more detail later. Two things that I'm really wanting to talk about today. First of all, we always said in K7, we were going to focus on the impact for homes and businesses. So things like internal sewer flooding and external sewer flooding for homes and businesses is really troubling to our customers, to any customers when it happens. So making sure we delivered on that was important, and we have sector-leading. Bathing waters. We have 860 miles of coastline that we look after for our regions. Our customers understand it's incredibly important valuable asset for them, and we know that. So making sure we've got bathing water standards and for the fourth year running at 100% really important. So we've ticked the box there. Where do we need to do more? Well, you can see there. The EA's environmental performance assessment, we're forecasting again for 2024. The final close down is not out yet, but we're anticipating another 2 star. Why? Our pollutions to water causes overall, we've got to do better. There are some improvements beneath the headlines, which I will talk through. We've got to do better. Third priority, driving environmental gains. I was just chatting at coffee with one of our supporters on the banking side, and they were talking about the work that we have been doing and they come down for a visit to look at all the catchment work we've been doing, where we're working with over 80% of our farmers and those who have significant landholdings where we work to make sure that the natural environment improves the quality of water that we have and that we rely on to serve our customers. So I'm really pleased over this 5-year period that we have been making those improvements. You can see the hectarage there that we've improved. And you can also see the reasons for not achieving good ecological status has reduced for us from 19% to 12%, a huge undertaking, lots more to do going forward, but some great strides that have been made. And then the picture that you can see there is of our Pennon Power assets, renewable energy. We are a large user of electricity. All that moving water around takes a lot of energy. And we have invested and are investing in 4 sites that when they are up and running, represent around 40% of our generation -- power generation needs. And I'm sure we will talk about that later. And then lastly, supporting our customers. It is not the last priority. It is one of the key priorities that we have. We're really proud and pleased of the work that we do to support our customers. We have been working to make sure that customers, despite the fact bills have gone up, that customers are in a good place in terms of the bills that they receive and the tariffs that they're on. We ended the regulatory period with 100% affordability. That was a really important position for us to get to so that we knew when the bills come that we could then have that contact with our customers and support them going forward. So we're pleased with the work we've done and the outreach work. There is more to do, which I will touch on. And as I said at the beginning, 70% of our outcomes and stretching regulatory targets, we have delivered on. That puts us upper quartile relatively in the sector. It still means there's more to do. We didn't get 100%. We got 70%. They were stretching, and we have made improvements, and that's all been done and underpinned with record investment. So that's what I would summarize in terms of the priorities and where we are with those. So I touched on the fact that we do have a different approach at Pennon in terms of our growth. We've had a twin track approach of both organic and acquisitive. So why do we do that? Why have we got that? Now the RCV has grown by 75% over the regulatory period to '25, and 30% of that growth has come from acquisitions. So why not just organic? Well, we think there are real benefits to consolidation. We said it before, and we can see it in the results that we've got. It's about delivering efficiently. So coming together, we get to deliver things in a way that you wouldn't have as a stand-alone business. And if you look back to the acquisitions that we've made, Bournemouth Water, 2 new state-of-the-art treatment works that we've invested on. And a few weeks ago, I was at Alderny, where we were just looking at the work that we had completed, and I met with the Water Minister and our regulator, Ofwat, to give them a sneak preview of the works. And once it's commissioned, along with the Knapp Mill treatment works as well, that will be providing around 85% of customers' needs in and around Bournemouth. Now what's exciting about that? It was state-of-the-art off-site build techniques, largest off-site modular build that's happened in the U.K., delivered twice the speed of traditional projects, and it's just been awarded the King's Award for Enterprise innovation. So the good thing about coming together in the sector and the consolidation that we've done, yes, we are able to invest in new treatment works for customers, and they will get the safe, clean drinking water that they want. But the way we do that efficiently and effectively, we do that from that acquisition. Isles of Water -- Isles of Scilly Water, sorry, we took that on in 2020. Interesting times to take it on in COVID, but we took them on. And customers in the islands are now experiencing first-time sewage and a step change in water quality. I was really pleased when I went to drinking water inspectors update -- annual update last year and the Isles of Scilly have made it on to the map and made it on to the chart for the first time, which was great to see and is in the pack in terms of water quality results. Bristol Water, we've successfully resurrected plans to construct a new reservoir to improve the South West Water resilience. So that wouldn't have happened as stand-alone. The previous plans were scrapped by the previous owners, and we've resurrected that, and that's the right thing to do. And lastly, Sutton and East Surrey Water, we've obviously made sure that financial resilience is there and Bough beach reservoir, there are opportunities for that going forward. So the other thing that we've done as part of these acquisitions and part of our approach is make sure that we've got a growing shareholder base of customers. So with the acquisitions that we made, we also have share issuances. And we now have quite a number of customers, in fact, 4x the number of institutional shareholders who are shareholders. So we're in a really good place for them to be part of the story going forward. So my list of things I was going to talk about. 2024, '25, I'm saying is a point of inflection. And why do I say that? Well, it has been a challenging year with a number of moving parts. So I'll talk you through some of those moving parts, and I'm sure Laura will go into this in some more detail. So the first area I'm going to talk about on the left for me is around the revenues and the water efficiency work we've been doing. So we have been really driving our water demand initiatives with customers. Our loans from the drought, we know it's really important. Our loans from affordability for customers, that's really important. So if they use less, it will cost them less. And we know that in achieving that 100% affordability, you've kind of got to do both. So we've been doing a whole host of campaigns. Now what that has meant is that we have had, on a like-for-like basis, water business wholesale revenues lower than you would have anticipated. And that has contributed to the loss before tax that you will see in the results. But it has been the right thing to do, and there are obviously revenue mechanisms in place to protect future recovery, but it's been an important part of what we have done. The second important part of what we have done this last year is make sure that we've reshaped, rightsized and we're in the right place for what we need to do going forward. Yes, we have made savings. Yes, we have thought about how to structure the business differently. And yes, we have put around 35% more staff on the front line over the last few years, which has been an important part of the work that we have been doing to make sure we are well prepared for what we need to deliver on. So we have reset the cost base. We have delivered GBP 76 million of annualized savings, which we will see coming through in future years, and we're on target to meet the GBP 86 million that we've set ourselves ahead of time. Third, investment, which again has had an impact on the '24, '25 income statement. We have been advancing, investing, making sure we can deliver for our customers and communities. And that obviously assessed in good stead going forward that has had an income statement impact that we will get recognition of going forward into K8. And what does that mean for our overall returns, fourth bubble? Well, our water share mechanism is all about making sure that we are performing and where we do perform, we can share some of those benefits with our customers. We have performed and over the K period, returns around about 190 basis points above base returns. We've got a strong balance sheet, GBP 1.3 billion of fundraising. As I said earlier, thank you to everyone who's been supporting. Balance sheet is in a really good place, and we're in a really strong position. And lastly, because of the work we've done on the balance sheet, it's sort of rebasing around the dividend, but we have performed. We have performed as a business. Yes, there are things that we need to do more of going forward, but we are in a good place. So the dividend that we are announcing today that we put to the AGM is a 3.4% growth CPIH in line with what we had announced earlier this year. So reset, rebased for K8. So what about that strong platform for the future? Well, a couple of things I would point to. It's always a really good idea to get a good business planning and get a good assessment so you can start delivering on it. And we've done that with both South West Water and Sutton and East Surrey Business Plans. We're already delivering against that. We know the business plans will give a growth in RCV and a growth in capital investment at a run rate that we are already at. We are driving efficiency and innovation through the supply chain amplify alliance that we have set up, and they're already working on thousands of schemes to make sure we can deliver for our customers. And in terms of driving efficiency and driving performance, we have said before, we are targeting a 7% return in K8, which pretty much is a continuation of the outperformance rate I just talked about for K7. So in a good place for K8. And with that, Laura is going to come on and talk about the results on the financial side.
Laura Flowerdew: Thank you, Susan. Good morning, everybody. Good to see you all here today. Let me talk you through this year's financial results as well as some of the key aspects of K7 as we close out this regulatory period and head into the next. First of all, looking at the financial highlights for the year, we're pleased to have delivered a stable EBITDA performance against a challenging sector backdrop. This has led to a loss before tax of GBP 35.1 million, in line with our expectations, and I'll come on to some of the reasons for this as we go through the presentation. Our cumulative RORE over AMP7 has remained strong at 6% for South West Water on a water share basis, providing outperformance over the regulated cost of equity. We continue to invest record amounts in our Water Group with GBP 652 million of CapEx this year, principally from the water business. This includes early start expenditure and positions us well for delivery in K8. Our rights issue in February raised GBP 490 million of equity, which means that our water group gearing ends K7 at 61.8%, with group gearing just a couple of percentage points higher at 64.3%. Finally, our proposed full year dividend rebased for the rights issue is 31.57p per share, consistent with our policy announced in January of the total dividend growing in line with CPIH. Our full year results from an income perspective basis, it's important to note that this includes the full year results from the SES Group compared with around 3 months of those results in the prior year following the acquisition in January. Excluding SES, it's been a challenging year for the water business with, as Susan mentioned, customer demand measures reducing our anticipated in-year revenues, whilst record K7 investment has continued, which has impacted on our financing charges and our depreciation. We will see the benefit of that investment come through our revenues next year. But given this year's flat revenues year-on-year and increasing capital-related charges, as anticipated, we're reporting a loss of GBP 35.1 million for the -- on an underlying basis this year. We've also reported non-underlying items of GBP 37.6 million, reflecting the cost of the bricks and water quality incident as well as costs to support our ongoing transformation and reshaping activities. These activities will drive cost efficiencies as we move into K8 to help ensure we maintain a stable cost base. Looking a little more closely at the revenue line. Again, as I say, the full year impact of SES is incorporated into the full year results for the first time compared with the 3 months prior year. We've then seen inflation and tariff movements on South West Water, offset by lower customer demand impacted by our water efficiency measures and helping ensure customers' bills remain affordable. This has led to broadly flat revenues in South West Water, whilst our non-household retailers continue to perform strongly with Pennon Water Services seeing increase in revenues through tariff and new contract wins, partially offset by also seeing some customer demand reduction. Overall, this means we're reporting full year revenues of just over GBP 1 billion at GBP 1,047.8 million. Our underlying EBITDA is broadly flat year-on-year at GBP 335.6 million. Again, this reflects the full year benefits of SES being within the group, whilst the flat revenue for South West Water can be seen in the numbers on the chart here. From a cost perspective, inflation was broadly offset by operational efficiencies, and we've then seen costs from investment in new technologies, including our customer experience platform and network monitoring activities as well as greater focus on frontline activity in order to close out the AMP position as well as we move forward. As we head into K8, we're very focused on ensuring that we are delivering efficiently as well as effectively for our customers. And we made a commitment to deliver GBP 86 million of annualized benefits in K8. We're making strong progress against that target with GBP 76 million annualized benefits being identified and in progress as we speak. And particularly of note, that falls into 2 categories, one around the integration synergies and benefits we obtained from our acquisition strategy. We've now completed our integration savings, and they are fully underway for Bristol Water, and we've made strong progress on delivering synergies with SES Water, where we've got GBP 9 million of the committed GBP 11 million synergies in train. We've also made strong progress in reshaping the business, driving underlying operational efficiencies. We've identified GBP 47 million of benefits that are underway in terms of delivering operational benefits as we move forward. And we've also, as Susan mentioned, reshaped the business to align with our 4 strategic priorities to ensure we deliver effectively and efficiently as we move forward. Talking of our 4 strategic priorities. Our capital investment program continued at record levels across '24, '25 with key projects such as the Alderney treatment works in Bournemouth, our WaterFit program to deliver our storm overflow and environmental targets as well as delivering on our WINEP outputs for K7. Pennon Power continued to progress with construction, in particular, of the 5 project and will continue as we move forward into the next AMP. Of course, this has been a key year on which we focused on our balance sheet resilience, completing our GBP 490 million rights issue earlier on in this calendar year. And last year also saw the launch of our EMTN public bond program. We've raised around GBP 800 million of debt this year, continuing to focus on a diversified debt portfolio and delivering an effective interest rate that will enable us to outperform the regulatory allowances as we move forward into the '25, '26 financial year. We end the year with gearing of 61.8% in the Water Group, again, benefiting from the rights issue and putting us in a good position for delivering on our GBP 3.2 billion capital program across the K8 period. Our group gearing is a few percentage points higher at 64.3%. So as we close K7, our Water Group RCV is just a touch under GBP 6 billion and reflects the 75% growth that we've seen over this 5-year period, both through the organic growth in South West Water as well as the acquisition of Bristol Water and Sutton and East Surrey. Alongside this growth, we've delivered 6% real RORE over the 5-year period and at a water business level, have added around GBP 900 million of shareholder value with around GBP 700 million still retained within the group. For K8, we target to continue the current level of outperformance on the cost of capital. As Susan mentioned earlier, with a target, as I'm sure many of you are fully aware, of 7% RORE over the 5-year period. At the rights issue, we confirmed our financial framework for the K8 period with 7% returns on notional equity and a dividend growing in line with CPIH. Our 2 investment-grade credit ratings will provide confidence in our financial position, supported by our gearing policy of 55% to 65% for the Water Group, whilst our GBP 3.2 billion capital program will result in 34% growth over the period to 2030 based on the Final Determination. Finally, let me come on to the outlook for the next financial year. I believe the outlook for the year is strong with a good return to profitability as we head into the new period. We see that driven by a reset of our revenues in line with the allowed regulated revenue in the Water Group alongside a stable cost base, which will lead to EBITDA increasing by around 2/3 year-on-year and a strong improvement in our operating profit. We'll see a consequential increase in financing costs and depreciation with the ongoing record levels of capital investment. And we also will see from a CapEx perspective, the profile being front-end loaded in terms of that capital investment profile over the 5-year period. From an outperformance perspective, that 7% RORE is very much a focus where -- and we see benefits from financing and totex efficiency in this coming year, whilst we target a neutral position across our ODIs as we transition to a new set of targets from Ofwat. Thank you for your time. I'll now hand back over to Susan.
Susan Davy: Well, thanks, Laura. And I think as I said before, it really is a point of inflection and a reset into '25, '26, and you can see that from the outlook slide that Laura has just taken you through. So I'm going to go back to some of the operational aspects of the business and what we've been delivering and how we've landed at the end of this regulatory period and for '24, '25. So I said at the beginning in terms of tackling pollutions and reducing the use of storm overflows. When we think about that within the business, we think of it in 2 ways. We think about how we're protecting homes and businesses. So by reducing homes who have impacted by internal sewer flooding is incredibly important to our customers, and we've done really well at that. We've got industry-leading performance for it. And we're a good performer for external sewer flooding as well, where you can see a 24% reduction in the number of external sewer floodings that we've had. So that has been a really good aspect of our performance. If you look at the pollution incidents that we have and you add in those that go to water courses as well, on a total emissions basis, which is on the right-hand side of that chart, we do have a good position in terms of our overall number of pollutions. Now one pollution is one pollution too many, and we have to eradicate them, but we are making progress. The area where we need to make the most progress is around water course pollutions, and that's what's measured in the Environment Agency's EPA assessment. Now you can see from the chart on the right-hand side that there has been some differences of performance over this K7 regulatory period. What we've got to do is make sure that we are consistently reducing and eliminating those pollution incidents. Now the headlines mean that we are still anticipating an EPA 2 star for 2024, and we have to get these numbers down. The good news is underneath in terms of those headlines, we are seeing reductions in network pollution incidents over this regulatory period. We've invested significantly, thousands of monitors that we've put in that are allowing us to get ahead of incidents. And that is also helping us with sewer collapses well. We've got more work to do on our other assets, which the team is on with. So we have a regulatory assessment point for the business plan, which is 2028 to deliver that 4-star EPA assessment, which then flows back into returns. And we have our reduction plans in place to achieve that. I'm going to move on in terms of storm overflows. So we know from feedback -- we know ourselves that we have to do more to eradicate the use of storm overflows. We are driving spills down through interventions. That said, we have had, not for excuse, but for context, incredibly wet weather over the last couple of years, which is good in the sense it has tested our systems, it's tested our networks, and we know where those issues are. You can see that we are 1 of 5 companies to reduce spills last year by 4%. It is the right direction. There is much more to do. And we are really focused on making sure we are intervening and getting those investments in where we need to so that we can reduce those spills. Now that's going to be a combination of both hard engineering with more storm storage, but also some of the catchment work that we're doing and some of the nature-based solutions to get those flows out of the system. It is going to take us 15 years to get this storm overflow program done, but we are making progress. And one of the things that we always want to make progress on is our bathing waters and any spills around bathing waters is something that, of course, our communities and visitors to the region really look at. We have reduced that over K7. It is reducing, but we've got to go further. Still pleased with the bathing water quality, but we need to do more. So it's been good in terms of understanding our systems and our networks and our assets, but there is more to do. So I'm going to move on to water resources and water quality. So when we had the drought in 2022, we thought long and hard about how we were going to tackle that. We have broken the drought cycle. That is the headline. And you can see there, that the resource increases that we have available to us for use as and when needed. And we have achieved 100% on the index, which is all about the health of your water resources. So we are in a good place. As I said, for 2025, we were ahead of the target levels we set ourselves. So we are in a good place for this summer without restrictions. Now in terms of looking after the environment and looking after customers' purses and wallets, we want to encourage reducing demand and driving water efficiency. We have had a number of schemes that we have implemented with our customers so that they can understand how they can affect usage within their homes. And that has gone well. There have been some challenges with some of the tariffs that we've implemented. We have learned lessons from those. We have had feedback of how we've implemented them, and there are trials. So that feedback has been really rich and means we can do something going forward. But ultimately, when you look at the demand reductions that we're getting from those, it shows it's the right direction and the right thing to do. And our smart metering program, the picture of which you saw at the front of the presentation is going to be really helpful in driving this. Now it's not just about what our customers do. It's obviously about what we do with our own network as well, and that's where we're focused on leakage reduction. You can see there the numbers, the percentages of reduction in leakage we had from '23-'24 into '24-'25, which was good for Sutton and East Surrey. We have missed the target in year 4 South West Water and Bristol Water. You can see the reductions we've made, but we need to do more, and we will be focused on that going forward into '25, '26. But nevertheless, a good reduction. And over K7, we've had some good strides in leakage overall. So water quality, I touched on it earlier. It is the #1 priority for customers to get clean, safe drinking water, and we are making good progress with our quality first rollout across the group. Now I mentioned Brixham earlier, which I will touch on again in the sense that we all know how important it is to our customers to receive that safe, clean drinking water. And therefore, our focus on this is unwavering, and we have to make sure that we are in a good place. And you can see from the chart there where we're positioned relatively. So our third priority that we talked about earlier, driving environmental gains, improving water quality. The RNAGs, as I said, we had reduced. That's been from investment. We've invested around 37 sites, and we've had a reduction in the amount of phosphorus that's going into raw water, which obviously improves the water quality for those communities. Now in terms of the work we're doing in catchments, yes, it's about the hectarage we complete as well. There are added benefits of the work that enhances biodiversity more broadly, and we work with our partners to deliver that. And in doing that, we leverage much more in terms of contributions for areas like people and restoration. So you get added benefits of the investment we make with match funding from elsewhere is incredibly helpful for the region. And lastly, in terms of our Net Zero commitments, Pennon Power is one key aspect of that, got the sites under construction and one is in cold commissioning. And if I move on to the next slide, which is a very busy slide, but nevertheless gives you all the detail that you would want on those 4 sites that we are investing in. We said before, yes, they're helpful for Net Zero. Yes, they're helpful for the power offset that we have within the group, but they do make returns stand-alone projects that are in excess of the regulatory returns. So from a capital allocation perspective, it makes sense. Having said that, we will obviously review and optimize what we're doing with these assets, as I've said before, when we get close to completion of the projects. Now the last priority that I want to talk through, which I mentioned earlier, was how we support our customers. We know it is really important that we engage with our customers as much as we can. I personally am really pleased I get out to see customers all the time. I tossed up that last year, I've met over 1,000 customers face-to-face. It's a brilliant way to understand what they really think about the business, the sector, the services we provide. Obviously, fleet is held to the fire with all sorts of questions that you might imagine that I'm asked about, but it's a great way to think about understanding their priorities. One of the things that we also want to make sure that we do is that we support those customers who find themselves in vulnerable circumstances. And you can see there from the chart, this is showing how many customers we've added to our register, which is really important so that when we have incidents and we are critical national infrastructure and sometimes we get incidents and things go wrong. And we need to make sure that we are in contact with those customers who will need the help most. And so we're really pleased with the work we've done around the priority services register, and that has increased the number of customers on it. Now obviously, we talked earlier about affordability, and we talked about the work we have done to make sure that our bills in K7 were as low as they could be. In fact, the '24-'25 bills, they were lower than they were 10 years prior, and that has helped in terms of engaging customers. And if you look at our customer debt aspects and our cash flows from customer bills, then the percentage of revenue that is associated with customers that don't pay their bills is at 0.9%. It's probably the lowest percentage that we have ever had. So we're in a good place going forward to support customers with the bill increases that I know they have had. We have significant support packages that we have had for customers over K7, and we absolutely focus on working with our local communities through road shows and supporting local charities as well, which really help make sure that we are embedded in those communities. And going forward, we've got in place, which we had in our business plan, a GBP 200 million support package for customers over the next regulatory period. Laura touched on our business-to-business retailers. That market has been open since 2017. We enjoy being part of that market. We enjoy helping our business customers, Pennon Water Services and water2business that we got through the acquisition of Bristol Water are 2 of the best-performing retailers in the sector. Sutton and East Surrey Business Water, which we've got through the acquisition with SES. We're looking at how we might incorporate that within the group going forward. But we're pleased with the work that we do with our business customers. And you can see from those Trustpilot scores, which are better than Amazon, better than John Lewis. And so I know that the teams are doing a good job in supporting those customers. And lastly, in terms of the colleagues, that we have and the brilliant people that we have across the group. And one of the things I really love about working in this sector is that there's a real history and heritage built up over many years. Everyone who works at Pennon is really proud of their heritage in the water sector, whichever region that they are serving. There's generations of fathers, sons, mothers and daughters who really have dedicated their lives to water, and I'm really proud of the brilliant teams that we've got. So in terms of supporting them, we obviously have lots of investment in terms of training. We have different schemes. We've had 680 people come through our apprenticeship and graduate schemes. And we have those schemes that also we've embedded within our Amplify alliance as well. So thank you to all the colleagues who have been helping us day-to-day. And one of the things that I've been most proud of, actually isn't on that slide, but our health and safety track record has significantly improved over the past 5 years as we work to make sure that everybody goes home safe. And we've ended this regulatory period with the lowest ever rate for absence, which has halved over the last 5 years. So the teams have done a really good job. And one of the things we want to make sure we do is always make sure that our colleagues go home safe. So last slide from me, which is about the end to K7. It's the same slide I had at the beginning. So 4 things in terms of the takeaway for us. We are delivering on our strategic priorities. We have more to do, yes, which is why we've got the investment coming into K8, but we are delivering on our 4 strategic priorities. We are, through our acquisitions, serving more customers and communities, and that's serving both investors and customers well. Yes, '24, '25 has been a point of inflection into '25, '26, and Laura has taken you through what '25, '26 is going to look like, but all the work we have done has reset and rebased us for what comes next. And we have got a strong platform for what we're going to do. So with that, we're going to go to Q&A. Thank you.
Unidentified Analyst: I had a couple of questions. Firstly, on the nonregulated businesses, you touched upon business retail a little bit. But could you flesh out a bit more what the outlook is there? Because I know when you made your acquisitions, one of the aims was to grow the nonregulated businesses. And is there anything else that's nonregulated other than the business retail? And the second question is on Thames. Basically, how do you see the situation at Thames impacting you? Do you see it impacting you at all? How do you think about it?
Susan Davy: So first of all, in terms of the retail businesses, which you said on the slide, we're really pleased with being in that market, and it has served us well. And the acquisitions, yes, we've got water2business investment through our acquisition of Bristol, and we've got SES Business Water as well. So what do we see for that going forward? Well, we're pleased that we're in that market. We're doing well at it. You can see from the scores and the profitability for Pennon Water Services and water2business that the teams are doing a good job and therefore, making a return as well. So we shall see how that market develops, but we're pleased with the progress that we have made. In terms of other nonregulated businesses that we have in the group, when we acquired Sutton and East Surrey, there were some small nonregulated businesses that we are working through. Some of those we've decided not to continue with as activities. But we're really pleased with the business-to-business retail market. So that's where our focus is. Second question was on Thames. That's an interesting question today, given the announcement with the preferred bidder KKR, announcing that they are not looking at that in the same way. What do I think about Thames? I think hard for me to comment on because it's obviously a different business. Very easy for me to comment on because it's part of the water sector, and we all want to make sure we've got a good functioning water sector with really successful businesses that are part of it. So I think, obviously, there's a lot of focus on Thames, a lot of work for them to do, I am sure. And I'm sure there'll be twists and turns in the story of ownership that comes next and seeing some of the work that the Thames -- teams do. They do obviously a brilliant job day-to-day with what they have to deliver. But in terms of ownership and where that goes, I'm sure there'll be twists and turns with that. Does it impact us? I think it impacts the sector in terms of uncertainty. And so we will obviously await what comes next. And I know with the funding work that we have been doing this year, there are obviously lots of questions around the stability of the sector and our business going forward, which is why I'm really pleased with the Cunliffe review and the interim findings that have come out today. I've had a quick look at those. I haven't had time to sit down and go through every line. I had a quick look at those and really welcome the report. And I'm sure there'll be meaningful reform. One of the key points that the kind of review is looking at is how to encourage and ensure that there are investors and investment in the sector because it's much needed. We're on the precipice of a GBP 100 billion investment over the next 5 years, which is record. So we do need investors to be there. So Thames specifically, can't really comment, but does it affect it affects the sector. It's the largest supplier, so inevitably.
Dominic Nash : Dominic Nash from Barclays. A couple of questions from me, please. Firstly, following up on the Cunliffe review. Would you mind giving us some sort of color as to the supervisory model that for regulation that I think is potentially proposing, which is clearly going down a more company-specific rather than a sector-wide sort of regulatory model and how that would -- how you think that would help or hinder yourself? And second, could you give us some sort of update on the dry, hot weather that we've had, which is quite nice, frankly, going from 2 years of sort of record rain to record drought. Could you work through us, because you said you're ODI neutral or expect to be ODI neutral in the following 12 months. Could you go through where the pluses and minus will come through from this flip from being wet to dry and also the impact on sort of revenues and costs, like I presume more people will flock to Cornwall and you're going to have more usage and/or you might have hostpipe ban although you say you're not, et cetera, et cetera. Would you just mind to give us some color on that one, please?
Susan Davy: Of course. Okay. So to start with Cunliffe. Now as I said, I had an opportunity to look in detail at what was announced this morning, and I will obviously be looking at that as soon as we finish here. In terms of the supervisory model, so what do I think that will mean? Well, to be quite honest, very much, and I'm sure with the quick look through that I had, there is still comparative assessment that's going to happen. And I'm sure that will be part of anything that happens in this sector going forward. The supervisory point, in terms of the specifics on a company-by-company perspective, we will obviously have to work through and understand. But it will be great to have more of a oversight in-depth review and conversations with our regulators on an ongoing basis to understand the work that we're doing. I think when I look at the regime and I look at some of those stats facts and figures and the EPA is one of those, we've got a headline star rating and then you have to look underneath to see exactly what is going on because the headline is just one aspect to it. It would be great to take people through that and to understand the specifics for our regions that we serve and how we perform against that. So like I said, in terms of the Cunliffe review, really welcome the report that's come out. I think there will be meaningful reform from what I've scanned through and had to look at and for an efficient, robust was company like ourselves. I'm really looking forward to what comes next.
Dominic Nash : Sorry, could I just follow up on something you just said there on the EPA. Do you think that there's -- the EPA is going through consultation at the moment as well, isn't it? Do you think that, that's going to give you a little bit more wiggle room on your EPA score? Or do you think that's going to be quite inflexible as well? Like could that be more of a flexible sort of company-by-company issue?
Susan Davy: You're absolutely right, Dominic since it's out for consultation. It's not concluded yet. So don't know is the answer. I know what we've submitted in terms of our thoughts. But I don't know where that's going to land because obviously, it hasn't landed yet. But this point around meaningful engagement with regulators, I mean, we have obviously robust, good relationships with our regulators. It's been part of the regulated business. That's what you want to have. I think having something that allows us to unpack our performance in a way that takes account of the specifics for our region will be really useful. So I don't know where the EPA is going to land yet because it hasn't concluded. I know we've put forward, but we'll see where it lands. And then you asked about dry, hot weather, what that means and -- what that means operationally, I think we've probably not got a couple of hours, but I'll give you a picture. So if I think about the -- we've got David, who's MD of the Water Business here. I'm sure you can talk to you about this at length going forward. Yes, of course, the work we did from the 2022 drought, David came in at that point has put us in a good position from a resource perspective. Of course, when we get lots of visitors, but we're used to that in the regions that we have, we need to make sure that our networks and our treatment works are in a good position going into what will be a busy operational period, which obviously, again, we are on with. And obviously, depending on the -- it's not necessarily for the networks, heat for a long time. It's the change in variability in that. So that's what we have to make sure that we are on top of. So for the clean water, water business, those are things that we will be thinking about. And then for the wastewater business, then obviously, Richard, who's MD of Wastewater puts his feet up and thinks, great, it's not raining. So he is obviously focused on making sure that we are looking after the network in such a way that when the rain and precipitation then does come that the network doesn't have any blockages or issues, which is why all those [sewer] monitors that we put in thousands of them are really helpful so we can see what's going on in the network now. And obviously, Richard will be thinking about all the festivals that we have in our regions and how we make sure that the wastewater treatment works are going to be able to cope with all those visitors that we have, which is a key part of the work that he does. So I think it's -- and from a storm overflow perspective, as you imagine, given the weather, if you looked at the storm overflow spill rates that we've had so far in 2025, they are appreciably lower than we had in 2024. But what is useful for us with that information is then to understand because now we've got the monitors in, we've had them since 2022. So all data is rich data for us, how is the network responding with these differences in weather patterns that we've got and where are the pinch points. So again, more useful data for us to use from a storm overflows perspective. But yes, the numbers for 2025 are a lot lower than they were for 2024.
Sarah Lester : Sarah Lester from Morgan Stanley. Just actually building on Dom's ODI question. Interested over the evolution of the 5-year period, and I'm not being sneaky and trying to triangulate the 160 basis points of outperformance. More just interested in how you see that net neutral position evolving, any key metrics, face value, all of that? And then Dom's question about the EPA. Now PR24 is not in scope of the Independent Water Commission. But if there are changes to the EPA, how does that impact the 30 basis points and that 4-star criteria? Or does it? And I feel like the answer to that might be too early to say.
Susan Davy: Well, I'll start with the last one first. I think until the consternation ends, we'll just have to see where that lands and then what that means. I think Ofwat has said, I'm saying this now, and I'm hoping that it is true. I think Ofwat said that they will reflect when the EPA lands to see if there's -- if that has an impact at all for the sector. So let's see where that lands and see the impact of that. I know for the EPA, what we have to do is get those pollution numbers down. I've always been focused on the absolute numbers for pollutions irrespective of the assessment and how that looks at the different numbers. We have to look at our absolute numbers and just get those eliminated. And that's what Richard and the team is absolutely on with. So that's just going to be our focus. And I think if you get that delivered, it doesn't really matter. I'm sure what the assessment is because you will have delivered a reduction and elimination of those pollutions. So I think that's what we've got to focus on doing, but we'll see where the EPA framework lands. In terms of the ODIs for K8 and how we see that changing from where we have been. I mean, obviously, pollutions, we see from the charts, we've had some variable performance. But I think we've got -- with the work that we've done and the initiatives that we've got in place and the instant reduction plan that Richard has put in place, we have a really good cadence of what we think we're going to be able to do over the coming months and years. So I think that will be slightly different for us going into K8 than K7. And in fact, we ended this regulatory period in a better place than we did at the start for that measure. So that's one of the measures that will change for us. We've got internal sewer flooding that we touched on. Obviously, we do well in that, and we know we're going to be doing well in that again going forward. We are really focused on bathing waters and again, have done well in that in this regulatory period, and we've got more incentive for that going forward. So in a way, the areas where we do perform and do well, we see those continuing to K8, those that have been a challenge for us like pollutions getting into a better place. So I think the makeup of the ODIs and where we take our benefit from, we have some real key metrics where we do well now that we will continue to do well and those where we have been needing to improve our performance, we are improving. So that will lessen the impact.
Mark Freshney : It's Mark Freshney from UBS. My first question for you, Laura, just on working capital. There seem to be a big outflow this year. I think it was GBP million in other receivables, GBP 31 million in payables. Is that -- which is fairly large, is that onetime or as the business ramps up? Or can we expect further working capital outflows in future years? And my second question for you, Susan, and this is entirely unfair, but I'll ask it anyway. Almost 5 years ago to the day, your predecessor set a target that he knew had set for you, which is doubling the base return on equity. So 400 bps outperformance. You got half of it, but it came -- 400 bps came from financing, which is a lot of which is high inflation. And then it was minus 200 on ODIs and totex. And you've set in January, you set another 5-year target for this AMP, which was 190 bps, which takes you up to the [indiscernible]. But my question is that given past experience, given there's so much that's going to happen over the coming 5 years, how can you be sure that, that target will be met? And what's different about this review to last review? Because I'm not saying we'll get COVID storm overflows again, but there will be something. And I'm just wondering why you needed to set the 190 bps?
Laura Flowerdew: Let me start with the working capital. I think the biggest change in working capital we'll see as we come into the next year will be contingent on the revenue position and making sure that as we increase tariffs, we keep up to speed in terms of recovery. As Susan mentioned, we're in a really strong position on that in terms of debt. And we started early to make sure that we're supporting customers through those bill changes and to avoid bill shocks. But there will be a little bit of movement as we work through the year, given that we are looking at 28% increase in bills from a South West Water perspective. But some of those other issues that you talk about in terms of working capital outflow will be one-offs rather than anything we'd expect to recur at this point. So really, our focus is on managing that debt book, making sure we get that cash through and realize the benefit of that on a very timely basis.
Susan Davy: Okay. Thanks, Laura. So yes, good question, Mark. So how do I answer that? I would say this has been an incredibly useful, if not challenging 5 years, where you're right, there have been lots of things we've had to face into as a sector and as a group. We've learned a lot. And we've ended that regulatory period, you're right, not delivering on the double, but we have delivered on performance, and we have had some outperformance. And that outperformance rate, we are running into K8. So where we've landed is where we're pretty much forecasting we're going to be going forward. So why do we have confidence in that? Well, as I said, we've been tested. We understand the business and our networks in a way that we didn't understand them 5 years ago, but we understand them now. We have brilliant people who are focused on delivering against those targets that we put forward into the business plan and were accepted. So I think we're in a good place. Now obviously, we'll see what comes out from the Cunliffe review and if that has any structural changes, not that I could particularly see that in the headlines today, who knows. But we're really focused on delivery. We're focused on making sure that there is outperformance. And when we get outperformance, obviously, that gets shared with our customers as well as our investors. So it is absolutely the right thing to do. And as I say, we end this regulatory period at a run rate of outperformance, around about 190 bps, I think, that is the run rate that we've set ourselves for K8. So having all that test and all that challenge made the investment, I think we're in a good place for it.
Jenny Ping : It's Jenny Ping from Citi. Just following on from the last question, and this is probably one for Laura. I'm looking at Page 37 of your presentation where you highlight the hedging strategy and how much of your debt book, your ability to lock in, in terms of outperformance. So just going back to the previous question, what confidence can you give us out of the targeted RORE that you've already locked in via your debt book? Just some sense of that would be helpful to give the market some confidence. And then one for Susan. Obviously, you talked about M&A as a core part of the group strategy. Can I just check that you're pretty much done now? Is it all about integration? Or are you looking at other things? Just -- I think I know what the answer is, but I just want to double check.
Laura Flowerdew: Yes. Let me start on the financing outperformance. So we obviously look at it as we go through the period and as we get any determinations in terms of where do we hedge and how do we make sure that we're locking in outperformance. So as we finish the '24, '25 year, we had a number of hedges drop off from the past period. That includes some of the hedges we put in place as inflation was going up, which have given us benefit to lock in a level which on the index-linked portfolio as well. So as we move ahead into K8, we have about GBP 0.5 billion of our debt book fixed at rates that provide a level of outperformance and come in under that level. Obviously, we have a fixed and index-linked portfolio. In addition to that, and our overall position, I think, on a gross basis, we have about 18% on a floating rate position. A little bit more of that comes through as some of the final swaps come off from last AMP in this financial year, and that's where there'll be an opportunity to look at do we want to lock in anything further. With the EMTN program and the move to more benchmark sized transactions, it's likely that quite a lot of the debt that we raise will be on a more fixed basis, but we do then look at whether we want to do anything in terms of refloating that and so on. And we'll look at that as we move forward depending on interest rate movements and so on.
Jenny Ping : So sorry, if I can push you, is it 1/3, half? Can you give us a ballpark sense of the basis points that you've already locked in that's from your debt book?
Susan Davy: So we haven't given that -- we'll think about how we -- I mean, what we've always said about performance is when we start delivering, we will then start reporting on what we've done and how we've delivered. So when we come for the half year results, Jenny, we'll give an update as to what that's looking like. But we haven't given that as a forecast. And then your question around M&A, Jenny. So I do believe that you get benefit both for investors, shareholders and customers from the acquisitions that we've made. The slide that I put up for the acquisitions that we've had in the past, customers have really benefited from the investments that have been made, which stand-alone balance sheets for those small water-only companies would never have supported. And then the growth in RCV that comes from that means investors do benefit going forward. So -- and we make efficiencies by bringing obviously organizations together. So I do think they make sense. Do we actively look in that sense? And do I have a list of opportunities that we are looking at? No. Of course, I don't. We look at opportunities as and when they arise to see if they make sense. We are focused on delivering what is a really large investment program over the next 5 years. But given our stated strategy of looking at both organic and acquisitive, if an opportunity came along that made sense, then of course, as we've done in the past, we always look at whether it's an opportunity for customers and an opportunity for investors. So we've not changed our strategy, but you're absolutely right. We've got a big investment program to deliver on, which we are busy delivering on right now. And we're focused on making sure that we've got our targets and our outcomes firmly in the sights of the teams who are delivering against them.
Susan Davy: Good. Well, I think that's it from everybody. Thank you so much for your time this morning. Great to see you all and hopefully see you in one of our regions soon. Thank you.